Operator: Good morning. My name is Sylvie and I will be your conference operator today. At this time, I would like to welcome everyone to Whitecap Resources Q4 and Full Year 2024 Results Conference Call. Note that all lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] And I would like to turn the conference over to Whitecap's President and CEO, Mr. Grant Fagerheim. Please go ahead, sir.
Grant Fagerheim: Thank you, Sylvie. Good morning, everyone, and thank you for joining us today. There are five members of our management team here with me today. Our Senior Vice President and CFO, Thanh Kang; our Senior Vice President, Business Development, Information Technology, Dave Mombourquette; our Senior Vice President, Production and Operations, Joel Armstrong; our Vice President of our West Division, Joey Wong; and our Vice President, East Division, Chris Bullin. Before we get started today, I would like to remind everybody that all statements made by the company during this call are subject to the same forward-looking disclaimer and advisory that we set forth in our news release issued yesterday afternoon. 2024 was an exceptional year in all areas of our business. The execution of our $1.1 billion capital program delivered production results that consistently exceeded our expectations providing four guidance increases throughout the year. These results not only validate the strength of our asset base, but also the result of our personnel along with our ability to execute and deliver on our growth targets. We're also very pleased to have returned over $560 million of capital back to our shareholders during 2024, over $430 million through our base dividend, of $0.73 per share annually and approximately $130 million in share repurchases. This was made possible with our balance sheet flexibility that we maintained and was actually enhanced throughout the year. Our strong year provided for an impressive 2024 reserve growth report from McDaniel's with debt-adjusted reserves per share growth between 12% to 13% and low FD&A resulting in attractive recycle ratios of 3.8 times, 2.7 times, and 3.3 times for proved developed producing, total proved, and proved plus probable reserves respectively. We believe that we have a very attractive inventory of opportunities on our asset base that will provide long-term profitable and sustainable growth for our shareholders. During 2024, we're in a highly competitive process to unlock a portion of the value with the infrastructure portfolio, culminating with the partial sell-down of our Musreau 05-09 battery to Topaz and our 15-07 Kaybob gas processing facility and the right to fund our future 04-13 Lator facility to PGI for total proceeds of $520 million. We retained operatorship of all three facilities and will utilize both in-house and PGI's expertise in constructing our new Lator facility scheduled to be completed by late 2026, early 2027. In addition, we also formed a strategic partnership with PGI and Pembina to unlock further value from these assets in alignment with our long-term strategic goals for both us and our partners, receiving preferential fees and access to their vast network of infrastructure midstream assets has made -- was made possible by signing long-term agreements that are supported with high quality and long-dated inventory of our uncontrolled Montney and Duvernay assets that we possess. Both Joey and Chris will provide more insight on the asset-specific details, but I would like to highlight a few meaningful areas that drove a significant portion of our outperformance in 2024. With our unconventional assets, one of the main 2024 highlights would be our Montney asset at Musreau. We completed our 05-09 Battery in March, two weeks ahead of schedule and 10% under budget, and we were able to quickly add production from our first four-well pad in the area -- our first four-well pads in the area. Since that time, we've grown production to 17,500 BOE per day, where we reached condensate production capacity as well as consistently provided higher condensate to gas ratios than we had forecast. Overall, condensate from the Musreau assets provided over 2,000 BOE per day of outperformance relative to our initial budget and the remain driver of this year's success. At Kaybob, results outperformed our initial expectations by 1,500 BOE per day as both initial production rates were higher than forecasted and base production showed stronger performance than what we were expecting. We also anticipate our 15-07 gas processing facility to operate at capacity in the second half of 2025, which is earlier than previously forecasted. On the conventional side, the two areas that were primary drivers of outperformance was the Frobisher asset in East Saskatchewan and the Glauconite asset in Central Alberta. New well performance was strong in Frobisher resulting in 2,000 BOE per day of outperformance and our 2024 program paying out in only nine months. Advances in drilling techniques to add second and third lateral legs have improved the already robust economics of this play since we acquired it in 2021. In the Glauconite, we were able to see additional egress options through 2024 which enabled our base and new production to outperform our initial expectations by approximately 1,200 BOE a day. Combined with the cost savings that we are now realizing through the use of modern drilling technique, the asset is really showing its strength within our portfolio. As in about the onset, we have an exceptional 2024. And while we were -- some of the more notable areas of outperformance, our teams continue to pursue small wins across our entire portfolio at an aggregate drive continuous improvement and strong results for our shareholders. I will now pass it off to Joey for more results on our West Division.
Joey Wong: Thanks Brad. Our unconventional assets closed the year with strength as both new drills and base production exceeded expectations across all focus areas in the Montney and Duvernay. On average, our Duvernay wells outperformed internal expectations by over 15%, while our Montney wells outperformed by over 20%. This outperformance is aided by the continued application of our unconventional development workflow to an already strong asset base. This workflow combines a number of technical best practices with the goal of delivering optimized and predictable results. It further informs our development decisions such as well and completion designs, real-time monitoring and optimization of completion operations, and production and drawdown strategies. The consistency and scale of outperformance provides strong operational momentum as we commence our 2025 program and has reinforced confidence in our long-range plan for our unconventional assets. That long-range plan sets out a projected growth of 10% to 15% per year with a 2025 forecast of 65,000 to 70,000 BOEs per day and growth to 100,000 to 120,000 BOEs per day by the end of 2029. With only 16% of our almost 2,500 inventory locations booked in proven plus probable reserves, we are confident that we will hit these targets and continue to do so well into the future. Building on the asset level discussion that Grant just spoke to, the key highlight in 2024 was the completion and start-up of our Musreau facility. We have now brought on 16 wells at Musreau and have exceeded expectations on both the strength of inflow and condensate to gas ratios. Further, we are observing impressive bottom hole characteristics with wells in our multi-bench configuration, tracking long-term outperformance to expectations of approximately 20%. These observations have reaffirmed our design selection of a multi-bench development in this area. This approach, which vertically offsets wells within the Montney enhances reservoir coverage while mitigating interior wellbore interference. If these results can be replicated across our undeveloped acreage, we anticipate increased EOR per well and/or expanded inventory through modestly higher well density, materially enhancing capital efficiencies, extending asset duration, and increasing profitability. At Lator, significant process -- significant progress continues on our 04-13 Phase 1 facility scheduled for completion in late 2026 early 2027. Engineering and procurement efforts are advancing as planned with permitting in progress and approximately three quarters of critical long-lead items now ordered. In 2024, we drilled two single wells on the eastern and southern portions of our Lator acreage, respectively, to assess the deliverability and liquids content across the sizable land block that covers roughly four townships of highly prospective Montney rights. The first well, 13 to 21, has now been on production for more than 120 days and has achieved an IP(120) of 1,265 BOE per day, of which 41% were liquids, including 442 barrels a day of condensate. The second well at 13 of 35, with 85 days of production is tracking a projected IP of just over 1,600 BOEs per day, of which 24% are liquids, including just over 250 barrels a day of condensate. On an asset of this size, we do expect variability in liquids content. And keep in mind that our total liquid splits for both wells would be 10% to 15% higher if they were flowing through to our future 04-13 facility and on to a deep cut plant which is one of the many advantages that our strategic partnership with PGI and Pembina provides us. Also of note, condensate to gas ratios on both wells were higher than our initial expectations for each specific area which is positive for the overall economics of this asset. Moving over to Kaybob, we recently completed fracturing operations on our second wine-racked Duvernay pad at 85-A which is a follow-up to our pilot at 11-14B. Initial indications upon completion, flowback and early production days were all favorable on the 11-14B pad, which gave us the confidence to progress this initiative to ensure repeatability of the observed improvements. We're now up to over 120 days of production for that 11-14B pad. And with an IP(120) still over 1,200 BOEs per day combined with our observations of the bottom hole flowing conditions, we are pleased with the initial results to continue to provide key validation points that support our assessment of what this asset might be capable of. The measured approach to development and optimization of this asset demonstrates our commitment to enhancing capital efficiency and improving and/or expanding our inventory. As results are further collected from these early paths, we will assess the potential for further enhancement through potential inter-well spacing reductions and associated inventory adds proceeding only if additional well density proves economically accretive. Beyond wine rack trials, we are also advancing capital efficiency improvements through extended laterals, leveraging our land base and subsurface characteristics. Our next three development pads will feature 2.5-mile laterals, enhancing resource recovery and operational efficiency. With that, I will now pass it over to Chris Bullin, Vice President of our East Division to talk about our conventional assets.
Chris Bullin: Thanks, Joey. Our East Division also had another great year in 2024, exceeding our internal expectations and supporting our corporate growth and free cash flow generation through high netback 80% liquids-weighted volumes that are underpinned by both secondary and tertiary recovery assets, thus lowering our corporate decline and reducing maintenance capital requirements. This allows our unconventional assets in our West Division to focus on growth and continuing to build more scale to cash flow, which over time becomes very meaningful for Whitecap. This complementary asset portfolio is a competitive advantage for us. Outperformance of our conventional assets in 2024 primarily came from our Central Alberta Glauconite and Eastern Saskatchewan Frobisher assets. Our Central Alberta Glauconite program had a very successful 2024 as we have been able to realize approximately 10% savings on total well costs with the implementation of monobore drilling, which has been operationally validated on the last five wells of the program. We have recently updated our Glauconite type curve to reflect this, reducing our total well cost to $6.5 million. This enhancement is now being applied to the majority of our Glauconite inventory, which bodes for upgrading and improving upon an already robust asset. Although monobore drilling is not a new technology as we have used this technique in both the Cardium and Viking for years, it has been a staged approach to applying in the glauconite due to technical risks, which our team has done an exceptional job navigating through and ultimately validating an opportunity for enhancement. This outperformance of our 2024 glauconite program was aided by securing additional infrastructure, access and egress, thereby allowing us to realize the full potential of these assets. Combining asset level performance with improvements in operational execution is leading to superior returns, and we are excited to continue this momentum into another active 2025 program. Our East Saskatchewan Frobisher assets have achieved tremendous success since they were first acquired back in 2021. Our team's evaluation and application of technological advancements have improved the already top-tier economics by increasing reservoir contact through longer laterals as well as increasing the number of horizontal lists. As a result, our full program 2024 consists of 37 dual and triple-leg wells is forecast to pay out in only nine months. These results were tracking 30% above our expectations, which if you recall back to our Investor Day presentation last June, we highlighted that our current expectations are 45% above what our original expectations were only three years ago. To continue to post better results is a significant achievement of this team and this asset in such a short period of time. Continuing on with further inventory enhancement initiatives is our open-hole multi-lateral State A pilot. As previously mentioned, the State A is a tighter flow unit of the upper Frobisher and with advancements in this technology, we believe that the potential of this data can now be unlocked. We are currently evaluating follow-up locations for 2025 to better assess and validate this potential resource that we have recently identified as having over 100 inventory opportunities. All of our conventional teams are maintaining a close watch on advancements in open-hole multi-lateral development throughout Western Canada. And where deemed appropriate, we'll look to allocate strategic capital towards unlocking these opportunities. With such a strong portfolio of current inventory, Whitecap can benefit from a staged approach to limit our exposure to any additional risk. Moving over to the Viking, we continue to push extended reach laterals across our program with the 81 Viking wells drilled in 2024, having an average lateral length of over 1,500 meters, which is our longest to-date. This highlights our continued push to maximize efficiencies as extended reach wells, reduce operating costs, surface footprint, and infrastructure spending, while improving economics. Our 2024 program IP(90) results outperformed the industry average in Saskatchewan by 45%. By leveraging our experience of drilling over 1,000 wells to date in the Viking, in conjunction with efficient development planning and an enviable land position, our conventional team plans to continue to expand ERH utilization in 2025. Our conventional portfolio has nearly a decade of Tier 1 and Tier 2 opportunities with over 3,800 locations in inventory. We are well positioned to continue to harvest these high-quality, light oil-focused properties that have infrastructure already in place coupled with a strong marketing strategy providing access to advantageous locations and reliable downstream pipelines. We are focused on continuing to find ways to enhance and extend the longevity of our plays with either technology or operational enhancements or through business development initiatives, focusing on tuck-in acquisitions and leveraging our technical expertise in each play. We are looking forward to another successful year in 2025. I will now pass it to Thanh to further discuss our financial results.
Thanh Kang: Thanks Chris. 2024 financial performance was also strong as we generated fourth quarter funds flow of $413 million or $0.70 per share and full year funds flow of $1.6 billion or $2.73 per share. 2024 free funds flow of $501 million or $0.84 per share was higher than our original expectations when factoring in actual commodity prices through the year. Again, a good result and a testament to the operational and financial success we achieved this year. From a netback perspective, higher than expected light-oil and condensate production from both our conventional and unconventional assets drove a strong netback of over $33 per BOE in 2024. Our controllable cash costs being operating, transportation, G&A and share-based compensation were also in line with our expectations that we set out at the start of the year. Whitecap's contribution to the Canadian economy were again substantial in 2024 with $1.1 billion in capital spending and almost $800 million paid in Crown royalties, corporate taxes, property taxes, and personal taxes paid on behalf of our employees. Year end debt of $933 million was reduced by over $450 million since year end 2023 and we've now reduced net debt by over $1.2 billion since the closing of the XTO transaction in the third quarter of 2022. In that same time period, we have returned approximately $1.2 billion to shareholders through our base dividend and NCIB amounting to almost $4 per share in value-accruing to shareholders in just over two years. In the fourth quarter, we also closed our inaugural issuance of investment-grade senior notes. The five-year $400 million notes carry a coupon of 4.382%, which was lower than our cost of bank debt. Our leverage is at 0.3 times debt to EBITDA, and we have over $1.6 billion of available capacity on our current credit facilities, providing us with ample flexibility to manage through market cycles including any potential differential impacts that we may be faced in the short to medium term. For 2025, our guidance for average production of 176,000 to 180,000 BOEs per day on a capital budget of $1.1 billion to $1.2 billion is unchanged. This is forecast to generate fund flow of approximately $1.7 billion and free funds flow of $550 million at $70 per barrel WTI and $2 per GJ AECO price. Our 2025 fund flow sensitivities to commodity prices are for every U.S. dollar change in WTI, our funds flows is impacted by $23 million. For every $0.10 change in AECO, our funds flow is impacted by $7.5 million. For every dollar change in the MSW differential our funds flows impacted by $23 million and for every penny change in the U.S.-Canadian dollar exchange rate, our funds flow is impacted by $20 million. With that, I'll turn it over back to Grant for his closing remarks.
Grant Fagerheim: Thanks Thanh, Chris, Joey for your remarks. As we noted in yesterday's press release, we've made significant strides over the past three years with substantial growth both on an absolute and per share basis, while ensuring our balance sheet strength is maintained, and we're able to provide consistent and attractive returns to shareholders. We believe that for all the success we've achieved in 2024 and it is just the beginning of hitting our stride with the asset base that we have assembled, and we are excited for the years to come. With respect to Canadian energy, we remain engaged on gaining a full understanding of the potential for tariffs on oil and gas exported to the U.S., and we'll ensure that we do whatever we are able to minimize the impact to our operations. Canadian energy is a vital part of the Canadian economy and critical for both Canadian and North American energy security. Currently, Canada exports approximately 4.2 million BOE per day -- million barrels of oil per day to the United States, of which 950,000 barrels per day is Lator oil, and we are currently exporting approximately 10 Bcf a day to the U.S. of the 19 Bcf a day of natural gas produced across our country. We have experienced the positive impact of the TMX expansion since it came online last year and we also expect to see positive impact on pricing dynamics within Canada, but the LNG Canada ramp-up takes place later this year and what it can provide. Both projects are increasingly viewed as overwhelming beneficial to all Canadians. And there are several LNG projects on the West Coast of Canada that continue to progress that will expand our market access by the end of the decade. But still, we need more of these types of projects, including having an ability to supply our own citizens in Eastern and Central Canada with reliably and ethically produced energy, not subject to production policies and other regimes. To conclude, on what was an outstanding 2024, our business has never been stronger and more resilient. Not only have we managed through extreme volatility over the last several years but more important, our team has been able to execute on organic development opportunities as well as capture inorganic opportunities during periods of market dislocation to make our company stronger. With that, I will turn the call over to the operator, Sylvie, for any questions. Thank you.
Operator: Thank you sir. [Operator Instructions] First, we will hear from Luke Davis at Raymond James. Please go ahead.
Luke Davis: Hey good morning guys. Thanks for taking my question. Just regarding guidance, I know it's still early in the year, but wondering if you can just frame out how you're thinking about sort of the lower and upper bounds and what specific assumptions go into that? And I mean, operationally, things have gone really well through 2024. Curious if you can kind of delineate how much of that outperformance is actually factored into 2025? And if you could just comment on that by region or even play, that would be helpful.
Thanh Kang: Hey, thanks for that question there, Luke. I'll answer for the first part of that question. So, as we think about average production for the year at 176,000 to 180,000 BOEs per day, mid-case being the 178,000, that would represent basically 3% production per share growth. And as we potentially are able to achieve the higher end, that'd be 4% production per share growth. So, it hasn't incorporated some of the outperformance that we've seen here in -- that we've seen in 2024. So, there's an ability for us to certainly see that continuing on. We're off to a really good start here in the first quarter. Last year, we had outperformed by about 5.8% relative to original budget there. And so as we think about production per share growth over the last two-year period of time, in 2024, it was 13%, 2023, it was 11%. With outperformance this year, the potential to buy back our shares here, we think that per share growth could be in excess of 10%. And that's what our internal target is. Obviously, we're not saying that we're able to achieve that based on the guidance, but that would be our internal target at this particular time. But we haven't incorporated any outperformance that we've seen last year and to our numbers here. So, there certainly could be outperformance that we can see in 2025.
Grant Fagerheim: One of the things -- just to add on to Thanh's comments and -- is that we're in the middle of -- here we are, middle of February, and things are going very well. Operations are proceeding well. We've not experienced too many operational challenges with the cold weather. Certainly, you're going to have to manage through that as we've had a bitterly cold February period at time. But what we've always wanted to do is look at where we're at for the first quarter once we finish our capital program through the first quarter and into the second quarter where it's a little more, you have a better understanding of where we're at. So, we've got a very good start, as Thanh had mentioned, to coming out of 2024, and it's continued on in 2025 here, first quarter to-date. But we're six weeks into a new year. So before we make any changes to our guidance. They want a little bit more time behind us in order to do that. But we are tracking ahead of what our initial guidance was. That's what I leave you with at this particular time. As far as where they are coming from, it's both the unconventional and the conventional areas. So, not only in the Montney and Duvernay, but also in our conventional assets in Central Alberta and Southeast Saskatchewan. So, it's a combination of all the above. And as Joey and Chris had alluded to, we look to continue as we move forward through the balance of this year and into 2026.
Luke Davis: That's super helpful. Maybe just a couple of follow-ups there. You noted some type curve and cost assumption changes on the block specifically. If you have the numbers handy, how much incremental buffer does that specifically gets you in 2025? And then just following on that, when you look out to sort of 2026 plus, given the efficiency improvements that you've seen across the portfolio, do you see a scenario where the capital profile starts to decrease and free cash flow increases?
Chris Bullin: Luke, it's Chris here. Thanks. To the first part of that question, I can add some clarity on the block. I think it's important for us just to look at the takeaway here that we do have a strong foundation on our conventional side of Tier 1 and Tier 2 inventory opportunities here. So, -- and that's if everything stays static. We continue to find ways to upgrade our portfolio. And one of the key things that comes from cost savings opportunities such as the block is our ability to upgrade Tier 3 inventory or Tier 2 opportunity to Tier 1. So, I think that's pretty important for us to keep pushing forward on that, especially from a culture of continued improvement perspective, we'll say. A little more granularity, I guess, from the block perspective, if you take a look this year with the savings that we have planned here with our 12 locations. It equates to about $10 million in savings going forward for the block for us on a year-over-year basis. So, for us, again, I mean, that's a pretty impactful perspective from a focused regional perspective, and we keep finding ways to push forward on that.
Grant Fagerheim: Just on -- on to your second part of that question, I believe, is talk about capital changes as we move through the year. Our most intense capital time frame is always the first quarter of the year and slows obviously through the breakout period of time in the second period -- second quarter. And so therefore, you look at your free cash flow running, obviously, your cash flow -- free cash flow running your capital program. And then we'll balance it for the balance of the year. There's so much at play right now with tariff conversation and that we'll manage through very carefully. But at this particular time, the first quarter capital program first half, we kind of divide it first half, second half. There's less capital being spent in the second half of the year, that would be in the first half of the year, but pretty well-balanced. So, your cash flow continues to increase as you're growing your production if commodity prices stay flat and tariffs don't come into play. How's that for a loaded answer?
Luke Davis: No, that's helpful, Grant. I was actually referring though to 2026 forward. I'm just curious given how much efficiencies appear to be improving across the portfolio, if you could see that sort of gross capital profile comes down over time?
Grant Fagerheim: Yes, that's difficult for us to go out with that, what percentage of this particular time look. I mean, I would like to think that it continues on, but I will leave that more to our operations and technical guys to know where to stand on that. But we just -- we do want to make sure that what we're demonstrating at this particular time is operational excellence and continue to advance that into 2026 We'll have more details of that as we move into coming out of the first quarter and first half of this year.
Luke Davis: That’s great. Thanks for taking my questions. That’s it for me.
Operator: Thank you. [Operator Instructions] Next will be Matt McNary at Haywood Securities. Please go ahead.
Matt McNary: Hey everyone. Thanks for taking my questions. This is Matt McNary on for Chris. When you laid out your five-year plan at your Investor Day last summer, you talked about mid- to high single-digit production growth. I think you're up 11% year-over-year. My question is, do you press forward with that level of production growth? Or do you lower activity to sort of fall back in line with the five-year outlook? And then a follow-up question. I know it's year two of the five-year plan, but how comfortable or confident are you that the business will realize a good chunk of the $800 million in incremental free funds flow from efficiencies and OpEx improvements?
Thanh Kang: Yes. So, it's Thanh here. Thanks for that question, Matt. I'll answer the first part here, which was the growth rate that we're outlining in our five-year plan on average is about 5% organic growth. year-over-year there. And so that's right within our mid case of 3% to 8% that we're targeting on a long-term basis. Obviously, over the last couple of years here, we've had some performance as well as been able to enhance that per share growth through the NCIB and buying back our shares. So, that's not incorporated in the five-year plan there. And so there's certainly an ability for us to, number one, buy back our shares increase that per share growth rate. But the organic growth target is still the same. It's in that 3% to 8% there, mid case being 5%, that doesn't change there. Obviously, if the outperformance continues on, whether it's in 2025 or beyond in 2026 and 2027 there, we'll be at the higher end of that growth target but again, still within the band of 3% to 8% is what we're targeting long-term here.
Matt McNary: Great. Thanks.
Thanh Kang: Maybe I'll pass that on to Joey in terms of the type curve outperformance and what we're seeing.
Joey Wong: Yes, for sure. Joey Wong here. I can definitely take that one. So, thanks for that. Like I kind of mentioned in the remarks there, with a decent track record behind us of meeting or exceeding our expectations with some pretty good regularity here. We are feeling confident in the plan that we laid out. But like we -- like Thanh just mentioned there, we haven't baked that in, in terms of an upside on the five-year plan. So, is it something that is budgeted? The answer is no. But is it an expectation that we're going to reach for that and start to chew into the savings that you speak to, yes, we really do hope so.
Matt McNary: Great. Thanks.
Operator: Thank you. Next question will be from Tim Miller, investor. Please go ahead Tim.
Unidentified Analyst: Thank you. First of all, I'd like to thank and congratulate the executive team and Board of Directors for the excellent management of the company. My first question relates to the buyback of the WCP shares in the open market. I realize the company has received regulatory approval to buy back up to 10% of its outstanding stock, which I guess will be about 58 million shares. So far, it's bought back about 12.7 million, I think I read. But at these ridiculously low share values, I'm wondering if the Board and the executives have considered perhaps front-loading those buybacks while the value of the stock is so low and the uncertainty of investing the money and ongoing expansion is so questionable with the Shenanigan south of the border?
Grant Fagerheim: Tim, thanks very much, it's Grant, I'm taking that. I appreciate your comments just on where our valuation is at this particular time and whether it's on the normal course issuer bid or the potential for a substantial course issuer bid. We have to work around certain blackout periods of time, too, reporting periods to ensure that all the information is in the market. So, -- and during the first quarter -- so that's one component. The second component is during the first quarter period of time, we want to ensure that because it's our highest capital time frame in the first quarter, we generally don't -- aren't really active on our normal course issuer bid generally. And that's not to say we won't do it and we won't step into it. But we -- between the start of the year and up until this point in time, we've been in a blackout period of time. So, we'll certainly consider that as part of our plan going forward. When you talk about front-loading, buying back our equity, we would certainly look to do that as part of our overall plan. We do have the strength of the balance sheet. We want to continue to maintain that strength. And as you say, the foolishness going on between -- on this tariff conversation, we have to monitor that closely because there is an impact in -- if these tariffs do are applied going forward. There would be a minimal impact, but still there would be an impact. So, we want to monitor that and make sure that we're around and maintain our strength going forward into the future. But we will be active through the year in buying back our equity. And hopefully, that's a strong enough answer for you.
Unidentified Analyst: It is. Thank you. I have a second question if I be admitted. Question stems from the very strong by Canadian sediment that we are seeing here in Eastern Canada. In fact, in my 66 years, I've never quite seen anything like it. I, like millions of other Canadians feel strongly that it's time we weaned ourselves off of the American teeth. As the company ever considered investing in or co-investing in the development of its own refinery.
Grant Fagerheim: Specific to the -- I appreciate that in Eastern Canada. I'm hoping that Eastern Canadians also understand the benefit that the Canadian energy space brings to, the oil and gas sector brings to all Canadians as well. I think that's been a narrative that's been missed as we look to sell our products in -- and for the benefit of all Canadians at the strongest prices we possibly can. As far as refining, we -- I think there's a bunch of different opportunities. We've not specifically looked in the past refining our own products in Canada. But these are all things that will have to be understood when I talk about making sure that we have a clear understanding of what's going to take place between the government relations between Canada and the U.S. I want to make this comment that Canada is so resource-rich and it's been we've been tuned to ourselves some of the policies we have in Canada at the federal level at this particular time that we should remove the barriers for investment and bring all of our products, not just oil and gas, but whether it's other products. Those are the things that we -- being uranium, agriculture products, aluminum, all these products that we can make and have in Canada, we should be bringing those forward. So, refining, we have not specifically looked into refining, but these were all things once we get a very good understanding as to buy Canada if that will proceed into the future. So, thanks, Tim.
Unidentified Analyst: Thank you.
Operator: Thank you. And at this time, gentlemen, we have no other questions registered. Please proceed.
Grant Fagerheim: Okay. I just wanted to say thank you, Sylvie and thank you for everyone on the line today. And I just want to wish each of you all the very best in 2025 and we look forward to reporting back to you strong results as we advance. Thanks very much.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask you to please disconnect your lines.